Operator: Good day, and welcome to the New Relic Third Quarter Fiscal Year 2021 Earnings Conference Call. [Operator instructions] Please note this event is being recorded. I would now like to turn the conference over to Peter Goldmacher, Vice President, Investor Relations. Please go ahead.
Peter Goldmacher: Thank you, operator. Hi, everyone. Thanks for joining our Q3 fiscal '21 earnings call. We published a letter on our investor relations website about less than hour ago, and we hope everyone's had a chance to read the letter together with today's earnings press release. Because of the level of detail we provided across these two documents, today's call will begin with Lew providing brief opening remarks, and then we'll just dive right into your questions. During this call, we will make forward-looking statements, including about our business outlook and strategies, which we based on our predictions and expectations as of today. Our actual results could differ materially due to a number of risks and uncertainties, including the risk factors in our most recent 10-K and upcoming 10-Q to be filed with the SEC. Also, during this call, we will discuss certain non-GAAP financial measures. We've reconciled those to the most directly comparable GAAP financial measures in our earnings release. These non-GAAP measures are not intended to be a substitute for our GAAP results. And finally, this call in its entirety is being webcast from our Investor Relations website, and an audio replay will be available there in a few hours. With that, I'd like to turn the call over to Lew.
Lew Cirne: Thanks Peter, and good afternoon, everyone. And thank you for joining us for our third quarter fiscal 2021 earnings call. Joining me today, our CFO, Mark Sachleben; and Chief Product Officer, Bill Staples. Before we get to Q&A, I want to make a few comments about the quarter and the journey we're on as a company. I encourage you to read our investor letter, which we published today in conjunction with the press release. In it we describe some important updates that we're making across our company to better serve our customers. From the beginning, New Relic existed to help developers build more perfect software. That's an important and noble mission. And we're just getting started. We want to empower every professional developer around the world estimated to be 28 million today and growing rapidly with easy access to the power of observability as part of their daily workflows. Over the past year, we've made important changes to our go-to-market and product strategy, all in service of simplifying the observability market. And our financial results for the third quarter reflect the early response from customers to these changes. Specifically, there are three key areas I want to highlight. First, we are orienting every part of our business to focus on the customer. Every team across New Relic has a renewed focus on delivering increased value for customers. Our product teams have completely reimagined our entire platform experience. Our go-to-market teams introduce new pricing, packaging and sales motions. And our customer success teams have transformed our onboarding and training, all in the service of making it easier for our customers to try, buy and grow within New Relic one platform. The second item, beginning with the launch of New Relic one pricing much like we are transitioning to a consumption business model. In this new model, customers love that they are paying for what they use, and that they have complete visibility into their spending, no surprise bills or penalties, no shelfware and a very high correlation between price and value. This is resonating with our customers. And third, we are continuing to make adjustments as we innovate. As we progress through this important transition, we will continue to learn from our customers and use those learnings to refine our products and go-to-market. We fundamentally transformed our product, sales and customer success strategies, and we continue to make changes in the name of better serving our customers. On a personal note, I want to congratulate Bill Staples, who was recently promoted to President in addition to his responsibilities as Chief Product officer. Since joining New Relic a year ago, Bill has had a tremendous impact on our business, serving as the chief architect of our product and corporate strategy, including the launch of New Relic One last summer and our transition to a consumption business model. I also want to thank Mike Christenson who after serving for President and COO for the past year and a half is moving into an advisor role and remaining a director of the company. In 2019, I asked while step into an operating role to help me in the day-to-day operations of the company. His main focus was to add more structure into our business and to help us build out our business strategy. With this complete, he has decided to step down from the day-to- day operations role at the end of Q4. He will remain on our Board and continue as a strategic advisor to me starting in April. In summary, while we're pleased with your early momentum and feel good about our path forward, it's important to note that we're just getting started executing on our consumption model. We'll continue to focus on making it easier for our customers to do business with us and get more value from New Relic One.  With that, let's move to Q&A.
Operator: [Operator Instructions] First question today comes from Kingsley Crane of Berenberg Bank.
KingsleyCrane: Good afternoon. Thanks for taking my questions. Step two, so really appreciated the extensive detail and the letter addressing the transformation from a subscription model to a consumption model. And why it's so much more than just a revenue model transition. While it's still early days, could you share with us some of what you've learned over the past few months that has either most surprised you, or that you found most valuable? 
LewCirne: Certainly, I think one of the key learnings, for some customers they love to consume -- to step up to a large commitment that would show up in ARR. Because they have a good understanding of what their consumption will look like, over the next year, and they like those unit economics, however, there's a meaningful portion of our customers that have full intent to continue to grow with us. But would prefer to sign up for a smaller upfront commitment, which shows up in what they are. But they have a few things that they prefer that leaves that decision. First off, they have an easier internal approval process for that. Second, they say no, they're not going to overpay. And it's important to note that in our model, unlike some other models in our space, there is no penalty for over consuming. It's not like if you go above your credit amount, all of a sudden, the unit economics get a lot worse. So it's a customer friendly model, where they can have confidence that if they do sign up for a lower commitment, they're still going to get, they won't get penalized for that -- for consuming at a higher rate. And given the uncertainty that's going on broadly it's really hard to predict what their consumption may be a year out, or further. And so they prefer to just pay as they go for that overage. So that's one of the things we learned. And we're fine with again, because to our point on the consumption model, as we continue to focus on driving customer value, our customers are going to send us more data, and they're going to add more users. And those are the primary mechanisms by which we recognize revenue. And so we like that, and we certainly focus on those fundamentals, we expect to see our customers grow with us. And that should show up in our top line.
KingsleyCrane: That makes perfect sense. I like the example in the letter to about the non traditional applications like parking meters and pricing scanners. I thought that was interesting. So last question would be the commentary on the changes to sales incentives in fiscal 2022, including eliminating incentives for upfront commitments, hope this are important so how quickly can we expect the Salesforce to adapt to these kinds of changes? And should we be expecting any dips in productivity or up?
LewCirne: Well, we could signaling to our Salesforce for some time that we're moving up, but we obviously been signaling, more than signaling that we're moving this model, but we've been signaling to the Salesforce that the compensation plans for next year will really align well, with our -- with their customer success and New Relic success. So we've been preparing them for that. That having been said we're still in a period of transition. And during those times transition, some people may decide not to take the next step in the journey. Whereas others will be excited to continue on that journey. So we're managing through that changes, and we're prepared for that. But we absolutely are focused on setting ourselves up for success next year, in particular, as we align our compensation plans with the consumption model that we're committed to.
MarkSachleben: Okay, and if I could just add to that, Lew, and it's not going to be abrupt. We've done some modifications this year and in the fourth quarter, as we had in the fourth quarter, where we're kind of softening the [Indiscernible] while the abruptness of it by starting to transition those plans into what they'll be next year. So we as we said, we've been educating on this for quite a while and we've already started that transition as we go through the rest of this year.
Operator: Our next question comes from Sanjit Singh of Morgan Stanley.
SanjitSingh: Thank you for taking the questions and hello to everyone on the team. Good quarter in Q3. I had a couple of questions on that I wanted to work through. First, I want to get prepared for what we should expect over the next several quarters in terms of this consumption model. And so, Mike, I was hoping you could walk me through what you think the impact is going to be in terms of revenue. Maybe it's in terms of ARR, in terms of customers committing to a lower level of initial commitment. And then what is the team's hypothesis on how long behavior? They'll be very helpful?
MarkSachleben: Sure. I am happy to go through that. And I guess I'll start with just the ARR guidance in Q4, as we mentioned, is going to be flat versus Q3. And that's, I'm sure people have some questions around that. And even internally, we too, when you first look at that, I think it can be surprising. When we look at our business, we say we just came off a good Q3, we look at our business, how we're doing relative to our objectives, where we want to be in this transition et cetera. It feels like things are going well. And relative last Q4, et cetera, why is that number flat and kind of what's going on? And first of all, I say there are three primary reasons why that the guidance is flat for Q4. The first is the change in model. The second is large deal dynamics. And the third is entitlements. And let me go through all three of those a little bit. And it's a long winded answer to that question. But I think it's important for folks to really understand this. And so when we look at the change in model, if you think about our business we just reported calls it $670 million, $672 million of ARR. Q4 is our biggest renewal quarter. And so you say 25%- 30% of our renewals, our business is coming up for renewals in Q4, $175 million $200 million, call it $200 million of business that's going to be renewed in this quarter. Under our old model with -- that would have renewed at a higher rate, a higher level of subscription. If you look at last Q4, we had 116% dollar based net expansion rate and that says that that $200 million in renewals would have grown by 32 call it $30 million again round numbers, that $200 million in ARR is growing to $230 million in ARR. And what we're saying is now as we move to this model, that $200 million in ARR is going to renew at $200 million in commitments. And so that's a $30 million Delta, right there. And we're fine with that. Because customers are more comfortable committing to less than a spec to spend, we're confident that these customers are getting in, they're using the product, they're embracing the platform, and we're confident that their spend is going to grow over the course of the year, but it's going to be on their terms, they're going to be paying for what they're using a much more customer friendly and focused model. And so their spend will increase over time. But unlike the ARR where we'd see that bump in revenue right away, starting in April, we're going to recognize the revenue according to how they're consuming and will recognize the revenue until they hit their commitment level. And then it will be exceeding the current level, we'll get most of that bump in revenue in the latter half of the year. And so we think it's Q3, Q4, so the second half of the year, where that consumption revenue starts to pick up, and really starts to improve the overall economic and start to improve their overall revenue line. And we think that's where it starts to kick in. Now, the second bullet point I mentioned was around the ARR number this quarter was, as these large deal dynamics. This quarter, we have two large customers. And for various reasons they want, they're not comfortable because they want to reduce their overall level of commitment. This happened last quarter, we mentioned in the investor letter, there are $4 million. And in this quarter, we have these two customers in the low, eight figures. And these are two customers that are confused users of New Relic. They're going to continue to be New Relic users in fiscal 2022. And in fact, over the last 12 months, their consumptions actually had been increasing. But they're just not comfortable with that commitment. So these are customers where the ARR is going to be down. They're going to be consuming that commitment and then increases will be back end loaded in the year hat gets reflect in the revenues side of thing. And then the third, the third factor affecting ARR is the guidance is entitlements. And if you remember, we opened up our platform where we announced the new platform in August, and we said everyone can use as much as they want for free through December. And that had the effect of depressing results into Q2 in September, as people said, why I would pay for more when I get it for free. So that depressed Q2 a little bit added a bit of a boost into Q3. It also pulled forward some of the deals that may have happened in Q4 into Q3 into the December quarter where people want to take advantage of that entitlement and what we said was going to be an exploration.  So those are the factors. But overall, I think it's the latter half of this year, where we think this transitionary period will kind of have worked its way through. And we'll start to see the benefits and the ongoing consumption increases, hit the top line.
SanjitSingh: Thank you, Mark for that detailed explanation. I had a couple of just follow ups based on your answer. In a hypothetical customer, like in a traditional subscription model, they signed a 12 month contract; it was sort of recognized straight line. But let's say that actual consumption on a run rate basis happens in month three or four of the 12 month contract, should you expect the revenue recognition to be accelerated that early or do they have to sort of surpass their total initial commitment before any sort of excess revenues recognized?
MarkSachleben: This is destined to, starting to get into the details of revenue recognition and variable consideration which we put a little bit about that in the letter and happy to talk to anyone about that separately, but in general, we would recognize, we have to estimate what we think their usage is going to be over the life of the term. So over the 12 month term, and recognize it roughly in connection, try and smooth it out over the course of the remaining contract. So if a customer in month three or month four really starts exceeding their plan usage, we would probably recognize a portion of that starting in month three, month four. But we of course, we don't know is it going to go down in the future and things so it's really toward the end of the contract where we get a lot more confidence of what their actual spend is going to be. So in general, I would say the bulk of the increases are recognized, nice late in the term, they don't have consumed their full commitment before we start to do that. But in general is back end loaded. 
SanjitSingh: Appreciate it, Mike. And then the last one, I promise I'll yield the floor. In terms of how you guys are thinking about metrics in this sort of transition period. Have you guys given any thought to giving things like user accounts or data ingest or something to give a sense of how the consumption behaviors happening? Because it seems like the metrics whether it's ARR or revenue might be -- might not be giving the true picture of the underlying growth of the business?
MarkSachleben: Yes, we've thought a lot about that. We've got a lot of new metrics in the company since we've done this and from a public standpoint, we talked about net revenue retention, talk about that in a letter bit. And we give an example there for larger customers. We will be including that for our customer base as we go forward as a key metric starting next year, in next in Q1 in the spring. In otherwise, it's really about data ingest and users and the data ingest, we've talked about that gave some information about that last quarter, this quarter, we didn't get talked about that data ingest year-over-year grew about 70% last year. And when you look at the chart on the investor letter, you can see that there was an inflection point as is growing, once we introduced New Relic One in the summertime, and just last quarter, it grew in the 15% range in the quarter. And so that's something we look at very closely. And then the user growth, what's happening with user growth, we haven't made any definitive decisions about which of those metrics we're going to be disclosing publicly? We have to do that, we recognize those are important things. And we want to do it; we just want to do it, right. And we want to make sure we have enough data to be comfortable with the underlying trends. We're still pretty early in the model. And so we're still continuing to learn. But we definitely have to figure out and make sure that we disclose enough to get people comfortable with the underlying trends.
Operator: The next question is from Jennifer Lowe of UBS.
JenniferLowe: Great, thank you. Maybe just to follow up a little bit on Sanjit's question. And how we should think about this playing out through the next -- into the next fiscal year. It sounds like we should, if we look at the growth guidance for Q4, it sounds like it's probably still a couple of quarters after that, before you'd really see any meaningful inflection in the growth rate as these contracts take time to season through. Is that reasonable expectation? Or can we see it happen sooner? How should we just think about, when the growth rate bottoms, and when it starts to climb back up?
MarkSachleben: I would, I think it's the second half of next year, before it starts climbing back up. And once we're there, it's similar to the transition of folks who went from -- to a subscription model from the licensing on-prem, you go through the transition period, and you have this dynamic of the ARR base revenue falling off, and the consumption revenue, not yet picking up. So it there's that trough. And I think the pay depends on how quickly folks are consuming and relative to their upfront commitments and things like that. But we feel like it's the second half of fiscal 2022 where that starts to turn upward.
JenniferLowe: And then just in the shareholder letter, there was a reference that in the September month, you talked about last quarter that there was a 15% expansion on conversion to the new contract. And that was a little it was less 0% in Q3. And I'm curious, I know, there's a lot of variability in that, how much of that difference is due to just bigger numbers averaged across a bigger population causing a different result versus something strategically different in the way you were approaching customers on those conversions?
MarkSachleben: I would say there's something to, there a couple large customers had a big impact there. On the other hand, we are seeing something across the board and this is one of the learnings Lew alluded to in the first question, and where we've realized that customers are much more comfortable committing below their projected spend, particularly when the penalty for committing more is you have shelfware. The penalties for doing less is you pay at the same rate in which is logical going to budget going to drive people down to committing a little bit below what they expect to use. We went in thinking that customers would commit to between 80% and 120% of their expected usage.  What we're finding is some customers commit more, but only in the case where they're already blowing through what they've already contract for, and those customers then will commit to a higher number. In other cases, in most cases, they're going to commit to a lower number than they expect to use. In Q2, I think we were more involved and learning and we were pushing still to get that uptick. We had just rolled it out, we still had a go-to-market organization and even internally, senior levels, we were still kind of focused on this, let's get an uptick. What we realized is, when you're looking for transactional efficiency and customer friendliness, it's much better to basically let the customer decide, and help them understand the dynamics, and work through that. But ultimately, let the customer decide, and customers are more comfortable under committing. And I think that is keeping in line with what we want to do, which is be customer friendly. We're okay with that. Because the key thing is what happens after they sign that agreement? How does their consumption track? And that's what we want to follow. And that's what we want to keep seeing grow.
JenniferLowe: Okay. And just one last one for me. Just looking at the operating income guidance for Q4, I know you there was some references to being a bit behind planned on AWS spending and maybe catching that up in Q4, you also referenced maybe some sales compensation designed to make them whole, given the transition. How should we think about the puts and takes feeding into the operating margin guidance for Q4? And how that might play out even beyond Q4?
MarkSachleben: Yes, so the primary driver there is cloud -- migration to the cloud and cloud span. So in Q3, we were -- we have slightly better gross margin than we had anticipated. There was some prereq work that we needed to do to continue to accelerate the move to the cloud. That holds up some of that migration. Now as we get into Q4, we'll be spending to kind of catch up what we didn't spend in Q3, as well as the increase in Q4. So that'll put pressure on our gross margin in Q4. As we go forward, we are migrating to cloud, we've got this double bubble, where we're paying for the cloud spend, as well as our internal data centers. There's not much not you look out a couple months, and there's not much that's going to be happening there. Unfortunately, we're still paying for them. And as we talked about when we first announced this last spring, the gross margins, I think, next year are probably going to be comparable to the second half of this year. And then as we get into fiscal 2023, that sort of the second half of that year, they'll start to improve. And get back to the closer to where we were, as the cloud migration is completed and the old data center stand is completely rolled off.
Operator: Next question comes from Rishi Jaluria with D.A. Davidson.
RishiJaluria: Hey, guys, thanks for taking my questions and appreciate all the detail in the shareholder letter. I wanted to ask first starting on NRR. Can you maybe walk us through a few of the puts and takes I guess, a, does that capture churn to the extent that there are six figure customers who in the span of a year do churn off either completely offer, downgrade to the point that they're no longer in the 100-k bucket? Mark, I believe you said you plan on disclosing this metric for all customers, not just 100-k customers in the future. Just wanted to make sure I understood that correctly. And maybe wanted to understand if we look at the historical trend in that when we see this, the NRR metric for even the six figure customers decline about 20 points in the span of six, seven quarters. So maybe walk us through that and then I've got a follow up.
MarkSachleben: Sure, and just one clarification. We expect to use NRR for, I don't think it will be all our customers that we more likely our customers over 25K or some threshold as we go forward just because it's a low end there's so much back and forth and they are pretty transient and it pays it goes segment thing. So just more to come on that one as we get into next year. But that number does reflect customers who were paying, if they came in and out in the last 12 months, they would not be in there. So if it's six months ago, big customer came in and then a month ago they left that would not be in that number but if they were a customer, in the prior 12 months they dropped, that would be captured in that number. So that number is more of a historical looking, historical and back backward looking number. And it tends to follow overall revenue performance. But I think it's -- it breaks it down a little bit better. So we recognize it's been declining, I think as we go forward that will follow our overall revenue trends, where it's likely to be a little depressed for the next couple quarters, and then start to turn up as we get into the back half of fiscal 2022 and beyond. And once we've made -- once they've completed the transition, or we have the vast majority of our customers on the consumption model, I think, then it starts to give a real accurate view of what's going on. And then we'll be reflective of okay, what's going on with overall consumption.
RishiJaluria: Great, that's helpful. And just on the consumption versus subscription, I'm sure an overwhelming majority of the business today is subscription on. What's kind of the ideal mix? If is this, you're looking at getting 100% of customers on consumption, be it with some level of commitment upfront, and what's the general timeline for how long you expect that to take? Is that a matter of four quarters where it would go from being a vast majority subscription to a vast majority consumption longer than that? Anything that would be helpful as well, thanks.
MarkSachleben: Sure, we would like to get a, we feel like we'll have more than half our business on consumption by the end of this fiscal year. So by the end of March, that's a target of ours. And then as renewals are coming up, we would, our goal is to get every renewal on a consumption model. And so there are certain reasons, you can't do that but by and large I think we're going to be able to do that. So you go through the renewal cycles, we have some multi year deals that are take some time, but you fast forward a year from March, by then, more than two thirds, more than three quarters of our business should be on, it should be on consumption. If you've already start, you've got some site licenses at the high end, some other things that will prevent us from getting 100%. But we -- our goal is to get as much as possible. In terms of commitment levels, I think what's coming across probably already very clearly is we're not concerned with the upfront commitment level. What we would like rather than us going to customers and asking for that, we want our customers coming to us and saying I want to commit more because I'll get a better deal. I am so confident that I'm going to be using a lot more New Relic. I should get a better deal. And that's a better position to be in, it's customer driven. And then when we visit -- when we're having a negotiated with the rep says, look how much money I'm going to save you. And so I fully expect that a fair amount of our business will be committed going forward. But the difference is I'd like to have it being customer driven commitments, as opposed to our internal battling back and forth, pushing the customer to make commitments.
Operator: The next question is from Robert Majek of Raymond James.
RobertMajek: Great, thanks. It's good to see your data ingest increased quarter-over-quarter. Can you just help us understand what's driving the uplift in data ingest specifically? Is it more tracing and increased application monitoring coverage or customers adjusting more metrics and logs and that's driving the bulk of the increase?
LewCirne: I like Bill to take that one.
BillStaples: You bet. Thanks, Robert. Yes, it's actually really exciting to see the growth in data ingest. This quarter the product team released several new capabilities that unlock more data ingest and increased use of the platform, including our partnership with Confluence, and the availability of a New Relic Connector for Kafka allows customers to ingest Kafka topics into New Relic One without writing a single line of code. We announced a partnership with Kinetic to provide network insights, snowflake integration, syslog and Jesper logs, lambda runtime logs integration, improvements to synthetics that allow proactive monitoring and non HTTP connections, real time Java profiling and dozens and dozens of other improvements. As the products team is really focused on accelerating that data and user growth. So really, it's across the board we see growth in dimensional metrics. A lot of expansion in logs. And across the board and 70% growth in the first three quarters of this fiscal year we're really proud of.
RobertMajek: Great. And just one more question for me if I can. And this question overlap with Jennifer, but you mentioned that existing customers who renewed on the new model this quarter showed no ARR, uplift instead of ARR, can you share what the uplift was in terms of total spend? If we analyze the increase in Q3 spend? Or is it just too early to do that, at this point?
BillStaples: It's too early to do that. What we're saying is their ARR; the total amount they committed was flat. So if it had been $100 million in ARR, they committed to spend $100 million. Now what will that spend be over the next 12 months? That it's too early to tell there. But that's what we're very focused on is aligning the whole company of driving that consumption. So we fully expect it to be more than $100 million. And just how much more is up to us to drive and for the customer to get, see the value and really expand their consumption.
Operator: Next question is from a Ittai Kidron of Oppenheimer.
IttaiKidron: Thanks. And thanks again for the letter, a lot of detail there. Hopefully, we'll have to digest that later. But, Mark, I just want to go again, into trying to make sure I understand the timeline for you to get really good clarity, whether this is working or not. You've talked about the second half of fiscal 2022. But in reality, at the end of the fiscal 2022, you still are going to have, I don't know, 30% - 40% of revenue that hasn't converted to consumption. And you won't even know the expansion patterns of the customers that will expand in this in the next two, three quarters. So it's really second quarter or second half of fiscal 2023, the first half of fiscal 2023, I guess, late calendar year, next year, right, that will you're really going to have better insights, whether the consumption is working, whether the expansion of the consumption is working as you think it should.
MarkSachleben: I think obviously the longer the time the better visibility we'll have. But if you -- there's this couple quarter delay between when you is -- the time of commitment and a time when you get a lot of that revenue increase. And so if you think about a portion of our business giving that increase in the Q3 and other portion in Q4, I think that the amount of that impact grows each quarter. And so when will it be fully realized? I think it won't be fully realized for a year, right? probably second, until we have the vast majority a year, three quarters after we have the vast majority of our customer base moved over, that's when you'll really see the true model kick in and the true performance. But before then you'll see, I think we'll see the characteristics start to impact it, and the curve start to shape upward.  When you talk about how much of -- how much we're seeing and when can we get data, we've got a cohort of customers that signed up in September of last year. Now this is a smaller cohort, but we've got, it's in the meaningful in the many hundreds of customers that were in -- that signed up in September. We now have four months of data around what their pattern has been. And we've got this concept of running cold, running hot, where now we call it Goldilocks in the middle, are they on target to use less than our commitment? Are they on path to hit their commitment? Or are they running hot? Are they impact to exceed their commitments? Obviously, we expect over time the vast majority of customers to run hot and exceed their commitment. When we look at the their behavior and that cohort of September customers, when we look at their October, November behavior, and then we look at their January behavior, the ones that were running very cold are running cool, the one they're running cool, are now running neutral, ones are running neutral are running warm, et cetera. They're moving up of that stack, if you will. And so we're seeing that type of behavior. And when you get to next September, well, at that point, have a 12 month period where we'll see or what did they commit? What was their consumption pattern and how they do relative to commitments. So we're going to get good data Yes, in the next few quarters, and in the meantime we get all these interim data points that we see to see how we're doing. So and we can adjust depending on how things are going and make modifications along the way. So we'll get some indications along the way. But you're right, I look forward to the day, a couple years from now, where our entire customer base on this, we've worked through all these, and we have great data about how our customers consume. But before then I think we'll still have enough to really to understand our business.
IttaiKidron: Got to. I guess I'm trying to tie what you said now to lose trust points that you mentioned that the focus is on the customer. And reduce all friction and do whatever it is that the customer needs to try by and grow. If I remember, that was a commentary. I'm trying to think can you give us some color as to when do you think you're going to be more firm on your demand from the customer? And what I mean by that, it sounds like you're letting them blow through their capacity commitments, and we've unnecessarily going right away to taxing them, like, hey, at what point do you say, all right, enough is enough. And at this point move to the left, you'll have to pay this or move to the right, you have to pay that because I'm just wondering whether over the next 12 months, if you're going to assume a very lacks attitude towards customer behavior, again, the true upside here of the long-term expansion of bandwidth in your platform. It's going to take time for that to show in dollars.
LewCirne: Okay. I'll take that, I mean, Ittai, so in this new model, when a customer exceeds their consumption, they automatically go into an auto billing situation, so that there is no firm conversation required as part of their agreement with us. So if they exceed their annual consumption, month six or month seven, they receive an invoice, and we recognize that revenue. So and this is why we love that it's customer friendly, like, the customer will observe how their bills grow. And then they may say, hey, that you really extended is growing, but I'm seeing more value, now's a good time to reach out to New Relic and asked if we commit more today, would we get better unit economics. And so we just think that's a far more healthy relationships and having in our model today. And I think this is generally model. The model is brought in our space of having a rep chase the customer to try to force them to work on the vendor's timeframe. This is a natural win-win. We're going to set time delivering the value to the customer to grow their consumption. And that will at some point turn into some level of overreach. Now, it's important to note that overage is not punitive. Right, it's not like when you go over versus like heavy fee that makes them feel regretful in the relationship or is not having over committed to the relationship. And that is different from what others have done in this marketing. So I hope that helps you better understand the situation, there is no need for nasty conversation or difficult conversation.
IttaiKidron: Got it. Maybe Lew on that, you talked about it two large customers that decided to start with a lower commitment. Can you tell me how common that behavior was with $100,000 customers or even smaller customer? Was that something that was common or rare?
LewCirne: I let Mike answer that one.
MarkSachleben: I think it's specific, customer specific and situation specific. But we have, I think most customers are willing to commit at the level of their current spend, a normal course, that's an easy budget process. They go we were spending that this year. Last year, let's spend that again. So that's if you look at the mode, that's probably it. But if you look at the mean, it's I mean the mean was quiet, I guess we gave that number, but you have some customers who are just a little concerned, budgets are tight, and they say, it's easier to spend a little bit commit a little bit less, and look good because I save some money. Now at the end of 12 months, did they actually save money? Maybe, maybe not. Our goal is to hopefully we've convinced them of the value and they've seen the value and they end up spending more, but that's up to them. So it's hard to say but and I think we see that behavior throughout the stack of customers is not only large ones, we do have some small customers. We have small some customers who said I'm going to make zero commitment; I'm going to go to 100% pay as you go. And the economics, the unit economics are much worse for the coverage. But they're more comfortable doing that
Operator: The next question comes from Yun Kim of Loop Capital Market.
YunKim: Thank you. So, obviously, there's a lot of focus on this new pricing model, and the impact on the models that we all have to maintain and track your transition. But the pricing change was done to attract new customers and more successfully ramp with existing customers. So can you just talk about any change you made in your go-to-market plans to market this new pricing model to the right customers? And also to the right people at those target customers? And for instance, are you targeting the individual developers and departments? Or are you also at the same time targeting the C level people and including CIOs with this new pricing model? Just kind of curious on what the plan is in the near term, at least? And what you're learning out there, all you market this new pricing model?
LewCirne: Bill, I'd like you to address it, please.
BillStaples: Yes, the short answer is we are targeting both. For our existing customer base as renewals come up, we're focused on converting them to this new consumption. And this new pricing model and consumption. And as Mark and Lew talked about, that's going well so far. We're also targeting individual developers and new customers. And that starts with our new perpetual free tier that we introduced last July. This is a really generous offer because we believe the power of observability should be available to every developer. And it's a generous free tier gives 100 gigabytes of ingest and a full stack user for free. And we -- as we reported last quarter; we've seen an incredible engagement with that free offer. I believe we said last quarter 10x the number of customers who previously were in that, $1000 - $2,000 spend, are now engaging in that free tier. This quarter as well, we saw continued demand for that free tier offer and increase conversion to that pay as you go model by those small and individual developer and small business customers. In fact, we just tapped our 1,000th newly converted pay as you go customer just this week. So we're excited by that emerging opportunity to acquire new customers, and really build developer mindshare around our platform.
YunKim: Great. So on -- in those renewal situations; obviously, it's a new pricing changes and structural changes in the deal. Are you able to bring in the C level executives to kind of introduce exactly what you guys are doing, and try to get maybe a bigger wallet share of other products as ongoing or being planned? I just kind of try to understand exactly what the initial responses from those customers are when you renewing with existing customers and whether or not you're able to communicate this new pricing model effectively to the C level people.
LewCirne: Yes, I'll take that, Yun. As you can imagine, as the spend level increases so does the seniority of the people we engage with, and we've got a good history of working at the senior level to try strategic relationships. In fact, if you look at some of the results from quarter including deferred revenue, you can see we did quite well on some large deals that show us some of those numbers. I say that what they like about this new model is first of all the predictability of the spend, the total consolidation value proposition, CTOs love that they have a single place for all the telemetry data, and it's cost effective to have all their telemetry data in one place. They love standardizing on one per user products, full [Indiscernible] of ability to combine the capabilities of many, many products, often for many vendors. So it's a great story that resonates with CTOs. But what we like about the model we're embracing is we can grow our way there naturally. And so that we can enter in an account at relatively low spin, grow as -- grow naturally with them and then at the appropriate time, have that executive conversation, which is far easier to have than when you're just coming in directly into the top without that history and context.
YunKim: Great. So do you expect a ramp in perhaps your professional services headcount to help your customers, ramp and increase usage?
LewCirne: We are organizing around a Chief Customer Officer organization whose primary responsibility is to drive growth and consumption of the platform in our customer base. And so one of the things I continue to say internally is the real account management and quote selling happens the day after the customers ARR commitment happens. That's and so we're going to have a dedicated organization that assesses on that. And so the line is blurred between what is quote, pre sales, and post sales is just continuing customer education to help them understand the value of consuming more, adding more users adding more data.
Operator: The next question is from Michael Turits with Keybanc Capital Markets.
MichaelTurits: Hey, thanks. One from Mark; one for Lew. Mark, the two large customers that are reducing their commitment, how much visibility do you have into why? In the past few weeks, this has happened; it's included the sense of something I think over committed in terms of how much they just thought they'd use their product. So what do we really know about why they're reducing here?
MarkSachleben: Every one of these we talked about having that occur in Q3, we are expecting that to occur in Q4; everyone's a little bit unique. But it generally comes down to, I think, a more of a not just uncertainty around their budgeting process or internal budgeting issues that they have, as opposed to anything else. And it's just -- it's a lot easier to get smaller numbers committed upfront. And if they're asked to reduce the budget, you do that, and then you end up, you say, either I'll do something, or I'll go back for forgiveness later on. Because inevitably budgets will free up or somewhere along the line. So I think that's a big part of it is just the perception, depending on what goals they have around, how they procure and things. I think that's a big part of it. And then just the notion that people feel like, wow, I'm going to get more efficient, and they want to get more efficient. And they think you know what, we're going to be able to be more efficient with this. And I think some people go into the year thinking that's the case. And sometimes it is; if we're doing our job well, really, making sure they understand the value, selling the new use cases, making sure they understand all the capabilities of our platform; we're confident that you know what; they're going to increase their consumption. And they're going to realize, I want to get efficiencies by using more New Relic, and I'll get efficiencies across other parts of the organization because I'm using more New Relic. Not that they're going to ultimately consume less New Relic.
MichaelTurits: Did you quantify for us the dollar impact of those two reductions?
MarkSachleben: That we said, I said low eight figures on ARR.
MichaelTurits: Okay. And then for Lew, something that's not about pricing or contracts. Some of your competitors have broadened into areas, including the further left and development cycle, workflow, security. You've probably got a lot on your plate right now. But are you thinking that you'll be rolling out those kinds of answers some types of ancillary services, and expanding the offering? Or are you really focused on being a very pure play observability company right now?
LewCirne: I'm going to let Bill speak to that, because he's been doing a lot of internal communications of our three year strategy. We're very excited about it. But Bill why you don't answer that question.
BillStaples: You bet. Yes. I get asked that question all the time, as you can imagine. And there's one thing I've learned after 25 years in this business, if you chase competitors tail lights, you never win. We're really focused on executing our strategy because we believe that holds more value for customers and investors over the long haul, and we believe we're in the early days of observability. We're focused on empowering every engineer on the planet with data driven engineering practices that help them plan, build, deploy, and operate their systems faster. And with higher quality of service. We have the world's most powerful telemetry data platform. It's capable of ingesting petabytes of data, with incredible economics, providing blazing fast performance and analytics and intelligence services that correlate and action data with very low upfront investment. We have a single user experience that spans everything from infra to ATM to synthetics to logs. And we deliver it with a radically simple pricing model that's easy to understand, plan for and manage, and gives customers the flexibility to commit only what they want, and pay for only what they use. That's the strategy and the benefits of our technology approach. We're confident are going to become clear every quarter ahead. So we're really focused on driving innovation that helps our customers grow their usage. It's expressed through more data in the platform and more engagement by more users over time.
Operator: The next question is from Erik Suppiger of JMP Securities.
ErikSuppiger: Hi, thanks for taking the question. So we appreciate the disclosure of the data ingest growth in the investor letter. And in regards to the margin pressures stemming from the AWS data center transition. Is there a certain point of inflection where that would begin to be offset by improved unit economics kind of similar to the data overages with your own customer base, as Lew alluded to earlier?
MarkSachleben: So the biggest factor weighing on our gross margin is the migration fact that we're double paying right now, as we migrate to the cloud, we're paying for that full cloud spend. We basically have a data center in the cloud that we're paying for, and we have a data center, a number of them around the country that we're paying for. And so the biggest positive impact on our gross margins will be once we roll off the expenses associated with those retiring internal data centers. In terms of the overall economics, there are a lot of things we can do to improve the processing cost of our data and our data costs. And we continue to do those. Right now we're focused on enhancing the customer experience, and more focused on getting data in then the specific, so if it comes to spending $1 to attract more data, or, optimize our data center, we'll probably err on the side of attracting more data right now.  But over the next couple years, we're going to continue to improve that and do those efficiency improvements. We look at it over the long term; we ingest a massive amount of data now, two years, and five years now. We're going to laugh at how much we're doing now because it's going to be such a big number. And at that point, we want to make sure that the unit economics at that point are better than they are today. And so we're confident we can get there. But in the near term, we're going to invest where we think is most appropriate. And that's to grow the overall data we get in.
Operator: Next question is from Sterling Auty of JP Morgan.
SterlingAuty: Yes, thanks. Hi, guys. One just real quick question. If you look at the pace of migration to the new pricing platform, how would you characterize that pace relative to what you were thinking even a quarter ago? Is it on track? Faster or slower?
LewCirne: Mark, why don't you pick that one?
MarkSachleben: Yes. I think it's -- I think we started a little slower. When I look back at September, where we just introduced it and last quarter. And I think we're getting -- we're accelerating so that we're, by the end of this quarter, we'll be about on track. And then I feel good about our ability to even exceed perhaps. Our initial impressions of, and we're getting better at selling it. The customers now understand it and so I think that's helpful. And we're even seeing cases where people have signed the multiyear deals. And initially, we had thought you know what, we're going to have to wait for three years because they just signed a three year deal. And when we start talking to the customer, we're realizing, wow, we could potentially change out that that deal is better for both parties to get on a different arrangement and perhaps, we'll be able to migrate that customer over before three years. So I would say it started a little slower, we are pretty much on track now and longer term I think we're, we'll be able to exceed initial thoughts. That concludes our question-and-answer session. I would like to turn the conference back over to Lew Cirne for any closing remarks.
Lew Cirne: Well, we thank you all for participating in this quarter's call. We'll look forward to seeing many of you in the upcoming conferences, and reconvening next quarter. Thank you all.
Operator: The conference is now concluded. Thank you for attending today's presentation. Yo may now disconnect.